Operator: Good morning. We would like to welcome everyone to the Canadian Natural Resources 2020 First Quarter Earnings Conference Call and Webcast. [Operator Instructions]
 Please note that this call is being recorded today, May 5, 2022 at 8:00 a.m. Mountain Time. I would now like to turn the meeting over to your host for today's call, Lance Casson. 
Lance Casson: Thank you, operator. Good morning, everyone, and welcome to Canadian Natural's First Quarter 2022 Results Conference Call. To facilitate today's call, you'll find a copy of our presentation slides on our website, and note that slides are user defined on the webcast.
 Before we begin, I'd like to remind you of our forward-looking statements, and it should be noted that in our reporting disclosures everything is in Canadian dollars, unless otherwise stated, and we report our reserves and production before royalties. Additionally, I would suggest you review our comments on non-GAAP disclosures in our financial statements. With me this morning, is Tim McKay, our President; and Mark Stainthorpe, our Chief Financial Officer. Tim will first provide an update with a few slides on why Canadian Natural warrants a premium multiple. The slides will be followed by a corporate overview of the quarter, including specifics on our world-class assets and operations. Mark will then provide an update on our strong financial position, substantial free cash flow generation and shareholder returns. Tim will then provide an update on our summary prior to opening up the line for questions.
 With that, I'll turn it over to you, Tim. 
Timothy  McKay: Thank you, Lance. Good morning, everyone. Recently, there has been industry events and a few related articles on Canadian Natural, and we felt at our earnings call we take the time to reinforce why we are unique relative to our peers.
 So moving to Slide 2. Canadian Natural's strategy includes a flexible, effective, efficient allocation and our ability to be nimble to capture opportunities. Our strategy is simply to optimize capital allocation to maximize value for our shareholders, while ensuring we are maintaining a strong balance sheet. We have a defined growth value enhancement plan for every product and basin we operate in. This is driven by our effective and efficient operations, our area knowledge, ownership and operatorship of infrastructure. We have a history of capital discipline, operational excellence, and we have robust long-life, low-decline assets and low maintenance capital relative to most of our peers and ability to grow production, all which results in more long-term value for our shareholders.
 Opportunistic acquisitions have always been a part of our strategy. However, we have no gaps in our portfolio and acquisitions need to make sense and add long-term value. We have a culture of continuous improvement, leveraging technology innovation throughout the company, which gives us leading environmental, social and governance results.
 Moving to Slide 3. Canadian Natural has a long history of successfully balancing our 4 pillars of capital allocation, with a focus on maximizing shareholder value. Our 4 pillars are balance sheet strength, return to shareholders, resource value growth and opportunistic acquisitions. Our ability to generate significant and sustainable free cash flow, ensures strengthening balance sheet and a sustainable and growing returns to shareholders. We are prudent and disciplined in our allocation to resource development while maintaining flexibility to adjust when necessary.
 We have a strong track record of effective and efficient operations and low maintenance capital. Finally, opportunistic acquisitions have always been a part of our strategy, however, we have no gaps in our portfolio, and as a result, any acquisition must add value to our shareholders. Balancing of these 4 pillars with a focus on value creation maximizes long-term shareholder value.
 Slide 4. Here are some of the reasons we believe Canadian Natural should have a premium value. First, Canadian Natural has a unique and diverse asset base, which also has long-life, low-decline assets, which are large, low-risk, high-value reserves with low maintenance capital. Secondly, we have top-tier cost structure and a balance of commodity diversification, which is maximized as prices change. Finally, effective capital allocation, which is focused on return of capital, balance sheet and our teams are continuously improving our operations and ESG performance. These are all competitive advantages that justify a premium valuation.
 Slide 5, as can be seen here in this chart, we have one of the lowest maintenance capital, giving us an advantage over many of our peers. Slide 6, Canadian Natural's 1P reserves are the highest among Canadian peers, showing the strength and depth of our assets with approximately 30-year reserve life index, of which, 60% represents long-life no decline SCO reserves that has significant lower risk and no differential risk, significantly different than our Canadian peers.
 Slide 7 is when you compare our total proved reserves to our global peers of greater than 5 billion barrels, Canadian Natural is the only Canadian company. It clearly shows the depth and magnitude of Canadian Natural reserves and it's only then it can truly be appreciated.
 Slide 8. Since 2012, Canadian Natural has shown significant reserves per share growth when compared to our Canadian peers. Slide 9. Since 2012, Canadian Natural has shown significant reserves per share growth when compared to our global peers, an impressive track record. Slide 10, strategic growth capital acquisition opportunities completed in the company's free cash flow allocation that does not impact our current year and cash returns to shareholders.
 Slide 11 shows our free cash flow allocation policy. Since achieving net debt levels in 2021 below $15 billion with Q1 2022 ending at approximately $13.8 billion. In 2022, we target to allocate 50% of the cash flow to share repurchases and 50% of the cash flow to balance sheet, less strategic growth capital acquisitions, all defined in our free cash flow policy allocation. Mark will discuss this further as we have enhanced our policy.
 Slide 12, for the first quarter, we would like to highlight 2 of our recent strategic acquisitions. The first is at Pike where we acquired the remaining 50% interest in those lands. By having the facilities, area knowledge, we can leverage this to improve timing, cost and cost effectively develop these lands, adding significant value to our shareholders long term.
 On Slide 13, the second acquisition was in the Wembley Area in the liquids-rich Montney natural gas fairway. Once again, we have the expertise, infrastructure and legacy lands to enable us to develop these lands cost effectively and once again create more long-term value for our shareholders.
 Slide 14, in summary, Canadian Natural has a proven effective strategy, and we are delivering in today's environment and will continue in the future. Canadian Natural's ability to deliver significant free cash flow is driven by our effective and efficient operations, high-quality assets that have low maintenance capital at approximately $3.5 billion and significant reserves. Our culture of continuous improvement is unique among our peers as our teams are focused on delivering operational excellence across our asset base. We will continue to leverage technology, innovation to reduce their environmental footprint. Few, if any of our peers can be robust through all the cycles, show economic growth, have a sustainable growing dividend of 22 years, increase in returns to shareholders showed debt reduction, Canadian Natural is truly robust through all the cycle. That concludes our slides. I will now talk to the first quarter.
 Canadian Natural delivered strong operational results in the first quarter of 2022 as we achieved quarterly production of approximately 1.28 million BOEs per day, which include record natural gas production of over 2 Bcf a day. Liquids production was also strong at approximately 946,000 barrels a day, primarily a result of our robust, long-life, low-decline assets and operational excellence throughout the company. This combined with our capital discipline generated significant free cash flow as we continue to balance the free cash flow to our 4 pillars of capital allocation, maximizing value for our shareholders.
 We returned approximately $1.8 billion to our shareholders through dividend and share repurchase in the first quarter of this year, maintained depth, maintained capital discipline and executed on opportunistic acquisitions, which will add significant long-term value. We continue to apply the same drive to ESG, environmental, social and governance, to deliver industry-leading performance across the board, a significant factor in our long-term sustainability.
 As we move forward, we will continue to outline our pathway to lower carbon emissions across the asset base and our journey to achieve our goal of Net Zero GHG emissions in the Oil Sands. Canadian Natural continues to leverage technology, innovation, reduce its environmental footprint while ensuring safe, reliable, effective and efficient operations. Canadian Natural has multiple pathways to achieve Net Zero with actions identified in the near, mid and long term. And the strength of Canadian Natural's Oil Sands Mining asset is that with its long life, no decline, and with its manufacturing-like operations, it can have one of the clearest group, if not the clearest group to Net Zero of any global assets.
 I'll now do a brief overview of our assets, starting with natural gas. Overall, in Q1 '22, natural gas production was just over 2 Bcf per day, which was a record for the company, a 26% increase over Q1 2021. For North American operations, Q1 2022 natural gas production was 1.988 Bcf per day versus approximately 1.6 Bcf per day for Q1 '21, up significantly, primarily as the result of the company's strategic decision to invest in our drill-to-fill strategy, adding low-cost, high-value, liquid-rich natural gas production volumes as well as opportunistic acquisitions.
 Our Q1 2022 natural gas operating costs were $1.28 per Mcf, up 3% compared to Q1 2021 of $1.24 per Mcf. Good operating performance as our teams continue to focus on operational excellence. A couple of area highlights are in Northeast BC, production from 7.5 net wells that recently came on stream had strong production levels, totaling approximately 59 million cubic feet per day of natural gas and 4,200 barrels a day of liquids, which exceeded our budgeted levels and has excellent capital efficiencies of approximately $3,100 per BOEd.
 Within our Deep Basin core area, 6 net wells came on stream with strong production levels totaling approximately 78 million cubic feet of natural gas and 2,700 barrels a day of liquids, exceeding our budgeted levels resulting in top-tier capital efficiency of $2,800 per BOEd. Looking forward on an annual strip basis, AECO prices for 2022 was very strong at approximately $560 per GJ, an increase of approximately 67% over 2021 level, improving our economics of our low-cost, drill-to-fill rich natural gas projects.
 For North American light oil and NGL Q1 '22 production was 107,478 barrels per day, up 16% from Q1 2021, primarily as a result of our strong drilling results and previous acquisitions. Q1 2022 operating costs were strong at $15.24 a barrel versus Q1 2021 operating costs of $16.07 per barrel, primarily due to increased volumes.
 An area to highlight is in the Gold Creek area, 2 net wells on a light oil crude pad in the Montney came on stream with strong production levels totaling approximately 1,750 barrels a day of liquids exceeding our budgeted volumes by approximately 750 barrels a day for the past.
 Our international assets in Q1 '22 had oil production of 31,703 barrels, which is comparable to Q1 '21 level. Offshore Africa annual -- Offshore Africa first quarter was 15,742 barrels a day versus Q1 '21 of 11,854 barrels a day with operating costs of $13.38 per barrel versus Q1 '21 of $16.57 per barrel. In the North Sea, production in Q1 averaged 15,961 barrels a day versus Q1 of 19,959 and had operating costs of $64.24 per barrel. Our international assets continue to generate free cash flow and value for the company.
 Moving to heavy oil. Production was 63,000 barrels -- approximately 63,000 barrels a day in Q1 '22 comparable to Q1 2021, primarily due to strong drilling results and increased development activities in 2022. Operating costs in Q1 2022 were higher at $22 per barrel versus the Q1 operating costs of $18.89 per barrel, primarily a result of higher energy-related costs.
 At Smith, 7 net wells of multilateral Clearwater wells were completed on time in the quarter with early production rates totaling approximately 2,100 barrels per day, resulting in a capital efficiency of approximately $7,600 per BOEd, which was as budgeted. For Smith, the 2022 capital budget remains on track, targeting 11 wells per quarter for the remainder of the year to a low level schedule that will drive cost efficiencies, targeting 41 net horizontal wells to be drilled and placed on production during the year.
 A key component of our long-life, low-decline assets is our world-class Pelican Lake pool, where our leading-edge polymer flood continues to deliver significant value. Q1 2022 production was 51,991 barrels a day versus Q1 2021 production average of 55,498 barrels a day, only a 6% decline, reflecting the very low decline nature of this property. The team continues to do a great job, and we had strong Q1 2022 operating costs of $7.48 a barrel, a slight increase from our Q1 2021 operating costs of $7.38 per barrel. With our low decline and very low operating costs, Pelican Lake continues to have excellent netbacks.
 We had another strong quarter in thermal in situ operations in 2022 as we continue to leverage our continuous improvement culture and our expertise to deliver effective and efficient operations. In Q1 2022 production was 261,743 barrels a day, slightly down from Q1 2021 production of 267,530 barrels a day. In Q1, the operating costs were $14.35 per barrel, which is up comparing Q1 2021 operating costs of $11.40, primarily a result of increased energy-related costs.
 At Kirby South, drilling has commenced on the first of 3 SAGD pads and is targeted to come on stream in mid-2023, with targeted capital efficiencies of approximately $8,000 per BOEd. At Primrose, drilling has also commenced on the first of 2 CCS (sic) [ CSS ] pads, targeting to come on stream as well in mid-2023 with a targeted average capital efficiency of approximately $10,000 per BOEd.
 Finally, Canadian Natural is continuing to progress the engineering and design of the commercial scale solvent SAGD pad development at Kirby North, which targets to commence solvent injections in early 2024. In the company's world-class Oil Sands Mining and Upgrading assets, we had Q1 2022 production averaging 429,826 barrels a day of SCO, down from Q1 of 2021, primarily a result of the Scotford facility restrictions and the commencement of the planned major turnaround at the site in the quarter. The team had Q1 2022 operating costs that remain industry-leading averaging $24.60 per barrel of SCO versus the Q1 2021 operating cost of $19.82 per barrel. This increase was primarily driven by decreased production volumes and higher energy-related costs. The planned turnaround at the non-operated Scotford Upgrader began March 15 and is currently trending 5 to 10 days longer than the original target of 65 days.
 At Horizon, the planned turnaround is targeted to commence May 17 for a full plant outage for approximately 32 days. At Horizon, the reliability enhancement project is progressing as planned, with high-end activities targeted during the turnaround with the installation of the additional VDU furnace. Overall, the 2022 annual production target remains unchanged.
 I will now turn it over to Mark for a financial review. 
Mark Stainthorpe: Thanks, Tim. At Canadian Natural, our continuous improvement has created a sense of ownership and enables our teams to create value for our shareholders. Our effective and nimble capital allocation to our 4 pillars, returns to shareholders, balance sheet strength, resource value growth and opportunistic acquisitions continues to deliver robust financial results.
 In Q1 '22, net earnings and adjusted funds flow were both strong at approximately $3.1 billion and approximately $5 billion, respectively, with significant direct returns to shareholders of approximately $1.8 billion through dividends and share repurchases, all while our financial position continues to strengthen. Our asset base consists of top-tier, long-life, low-decline assets, underpinned by a strong balance sheet and effective and efficient operations that drive an industry-leading U.S. dollar WTI breakeven in the mid-30s per barrel, which covers our base maintenance capital requirements and dividend commitment, maximizing value for our shareholders.
 This advantage supports significant and sustainable free cash flow, and for our previously disclosed free cash flow allocation policy, targeted free cash flow will be allocated 50% to share repurchases and 50% to the balance sheet. This targets to deliver significant increases in shareholder returns as well as continued financial strength.
 In addition, the company's Board of Directors has decided to further enhance the company's free cash flow allocation policy by stating that when the company's net debt reaches $8 billion, which the Board sees as a base level of corporate debt, the company will allocate additional free cash flow as incremental returns to shareholders. Our dividend is growing and sustainable and is supported by our long-life, low-decline assets. On March 2, 2022, the Board of Directors approved a 28% increase to our quarterly dividend to $0.75 per share or $3 per share annually. This continues the company's leading track record of 22 consecutive years of dividend increases with a significant compound annual growth rate of 22% over that period of time.
 Net debt decreased to $13.8 billion in Q1 and is targeted to decline significantly through the year, following substantial net debt reductions of approximately $7.5 billion through the last 5 quarters. As part of our financial strength, we continue to maintain strong liquidity, including revolving bank facilities, cash and short-term investments, liquidity at the end of Q1 was approximately $6.1 billion. Our commitment to a balanced free cash flow allocation continues post Q1, with approximately $3.1 billion returned to shareholders through approximately $1.6 billion in dividends and $1.5 billion from the repurchase and cancellation of 21.5 million common shares year-to-date, up to, including May 4.
 In the first quarter, the Board of Directors approved the renewal and increase of the company's normal course issuer bid. The approval states that during the 12-month period commencing March 11, 2022 and ending March 10, 2023, the company can repurchase for cancellation up to 10% of the public float. When you combine our leading financial results with our top-tier asset base, this provides unique competitive advantages in terms of capital efficiency, flexibility and sustainability, all of which drive material free cash flow generation and return of capital.
 Before I hand it back to Tim for closing comments, I wanted to take a minute to thank Jason Popko, who spent 10 years in our Investor Relations group and who many of you on the call know well. Jason has moved into another group at Canadian Natural, and we look forward to continue working closely with them. Lance Casson, who has been part of the IR group for the last 6 years and who many of you already know as well, will be taking on Jason's IR responsibilities managing the Investor Relations group.
 With that, I'll turn it back to you, Tim. 
Timothy  McKay: Thanks, Mark. Canadian Natural's advantage is our ability to effectively allocate cash flow to our 4 pillars. We have a well-balanced, diverse, large asset base, which a significant portion is long-life, low-decline assets, which require less capital to maintain volumes. We balanced our commodities in 2022 with approximately 40% -- 46% of our BOEs light crude oil and SCO, 28% heavy, and 26% natural gas, which lessens our exposure to volatility in any one commodity as we move through 2022. We will continue to allocate cash flow to our 4 pillars in a disciplined manner to maximize value for our shareholders, which is all driven by effective capital allocation, effective and efficient operations and our teams to deliver top-tier results.
 We have a robust, sustainable free cash flow. Through our free cash flow allocation policy, returns to shareholders are significant. For the first quarter of 2022, $0.7 billion dividend, $1.1 billion in share repurchases, for a total of approximately $1.8 billion, and our dividend was increased by 28% for the 22nd consecutive year in March and has a CAGR of approximately 22% over that time.
 In summary, we'll continue to focus on safe, reliable operations, enhancing our top-tier operations, and we will continue to drive our environmental performance. We are in a very strong position and being nimble enhances our capacity to create value for our shareholders. Canadian Natural is delivering top-tier free cash flow generation, which is unique, sustainable and robust and clearly demonstrates our ability to both economically grow the business and deliver returns to shareholders by balancing our 4 pillars. 
 With that, I'll open up the call to questions. 
Operator: [Operator Instructions] Your first question is from Greg Pardy from RBC Capital Markets. 
Greg Pardy: I think maybe just one question, and it's really for Mark. It's -- in terms of the $8 billion figure, what is that girded by? I'm assuming that's probably a multiple of cash flow or EBITDA? And then I guess the follow-up is in terms of incremental shareholder returns, you guys have been at the forefront in terms of defining things in the past. Like would this open the door to variable dividends or specials? Or I guess, how should we think about this whole framework now? 
Mark Stainthorpe: Great. Thanks, Greg. For the first question on the $8 billion, $8 billion is a very conservative net debt balance. As you know, the nature of the assets being long life, low decline that provides that sustainable free cash flow, have low break evens, which I think history has shown through the cycles that this asset base can certainly support a higher debt balance.
 But having said that, we are generating that significant free cash flow and flexible free cash flow allocation policy, and that provides significant returns to shareholders and debt repayment and the ability to economically grow, which I think is a very enviable position. So in our and the Board's view a balanced approach in this environment makes sense and $8 billion of net debt, that provides us significant flexibility and the opportunity for even further shareholder returns.
 When you look at what do we mean by the enhancements to shareholder returns. I think this provides flexibility and the opportunity to consider many different avenues, further base dividend increases, of course and further share repurchases, and I think there is the opportunity to look at things like variable dividends once we get to those net debt targets. So I think there's a lot of flexibility and transparency here built into the policy. 
Operator: Your next question is from Phil Gresh from JPMorgan. 
Phil M. Gresh: Yes. I guess just a follow-up, Mark. How do you think about the timing of when you might be able to get to the $8 billion based on the strip, it sounds like you commented that you expect significant net debt reduction this year? 
Mark Stainthorpe: Yes, sure. Thanks, Phil. It obviously depends on your forecast for pricing and lots of other factors that work into the ability to pay down the debt, but we are looking at significant free cash flow through the year. If I look at strip today, I would suggest sometime late this year, early next year, but again, depends on a lot of factors, but that's sort of where strip would sit today. 
Phil M. Gresh: Right. Okay. That makes sense. And you've talked about in the past, it was the $15 billion target. I guess with the reduction to the $8 billion, is there any implication that perhaps there's just no major like M&A candidates out there? Obviously, you've been doing some bolt-on opportunities, but is it reasonable to think that to focus probably is a little bit more towards the debt reduction at this point? 
Mark Stainthorpe: Well, I think that's the beauty of the free cash flow allocation policy because we're below that $15 billion in debt, and the policy allows for those strategic opportunities, whether it'd be growth opportunities or acquisition opportunities because we're below that level, which then it does not impact the returns to shareholder amount. Tim talked a little bit about that in the slide deck where we were able to execute on a couple of opportunities in the quarter. And that's just part of that policy that provides that flexibility. To your point, I mean, the free cash flow is significant. So we do anticipate that returns to shareholders increasing as well as further debt reduction through the year. 
Phil M. Gresh: Got it. Okay. Last one, just on the Oil Sands royalty rate in the first quarter, just looking at the MD&A there, it didn't sound like you had been in post payout for Horizon, just wanted to clarify that. And then as you step up to that, I guess, in April, what would be the right rate? 
Mark Stainthorpe: Yes, that's right. Sorry to interrupt. Yes, that's right. We had anticipated sort of a March or April payout timing and Horizon is now paying out in April. 
Phil M. Gresh: And what's the right rate to be thinking about roughly as we practice? 
Mark Stainthorpe: Yes. So there's a couple of ways things, but of course, you're paying the royalties on a sliding scale on the bitumen value. But sometimes an easier way to think of it is on your gross revenue. So the royalties will start to ramp up into the kind of 25% of gross royalties. But IR can help you model that, but really, we'll be at the top end of the sliding scale at this price deck. But if you're kind of in that mid-20s percentage on gross revenue, it will be a good starting point. 
Operator: Your next question is from Dennis Fong from CIBC World Markets. 
Dennis Fong: The first one is just maybe shifting gears a little bit towards IPEP. It looks like some of the initial engineering designs expected to be complete in the Q3 time frame. Again, given where you're at with respect to current debt levels, the free cash flow generation. I know you've already outlined strategic capital that helps you debottleneck a bunch of production, both in thermal and in the Oil Sands Mining business. But just curious as to how we should be thinking about that projects, IPEP on a go-forward basis? And then secondarily, I've got a follow-up on Pike. 
Timothy  McKay: Sure. So Dennis, it's Tim McKay here. Thank you for your question. And yes, IPEP, really what is going on there and our teams, you've seen it with the reliability project. They're looking at unique and efficient ways to add production at a very low cost. And so you're seeing that on the reliability project. And so the transport mission with IPEP is that we're looking at marrying it up with the Paraffinic project that we had talked about a few years ago. And so the teams are looking at a creative way to potentially increase production at Horizon by using the IPEP process. And of course, it decreases our carbon footprint and lowers our trucking. So the teams are just working through those details. And when we get better clarity on the economics and the costs, we'll talk about it. But it is a -- our teams are doing a great job in terms of how to get more value out of Horizon either through SCO increases or potentially the Paraffinic and IPEP. 
Dennis Fong: Great. I appreciate that incremental clarity. Just around the Pike side of things, now that you've consolidated the interest in that region. And just as it relates to potentially building those assets out as extensions to Jackfish, how should we be thinking about the potential royalty implications of building out kind of these various resources as kind of add-ons to Jackfish, does the boundary -- the project boundary extend to kind of Pike or is that a separate project? How should we be thinking about that? And how does that potentially weigh on how you rank these projects in terms of economics with your pecking order? 
Timothy  McKay: Yes. It's a very good question. Today, what we're looking at is we feel we can leverage actually 2 facilities, not only Jackfish, but Kirby South to basically develop the property. And so we're looking at essentially pad adds, which are going to be very low cost, and that you've seen that for most of the development, it's around $8,000 of BOEd. And so essentially, we would be looking to develop those projects going to Jackfish and towards Kirby. As far as the royalty implications, really, I don't see any change in terms of that. It's just -- we're going to do that development for a lower cost, accelerate the timing. And really, that's the real opportunity at Pike. 
Operator: Your next question is from Neil Mehta from Goldman Sachs. 
Carly Davenport: This is Carly on for Neil. The first question is just around M&A. You've completed a few transactions over the quarter. Any color you can add on how those assets are performing thus far? And then just more broadly, how are you thinking about the current environment from a larger scale transaction perspective given where we're at with commodity prices? 
Timothy  McKay: Yes. So the M&A activity we had in the first quarter, obviously, those were in the works prior to the end of 2021. And Pike, obviously, it's just buying up those -- the working interest in undeveloped opportunities in the thermal area. So it's a large resource as you can see from the slides. And so to me, it's just one of those opportunities where it would create significant long-term value in the thermal for the company.
 The other transaction in the Montney really small volumes today. But because of the proximity of the lands and our infrastructure, we see a lot of value to be able to develop that cost effectively over the long term. So it's liquid-rich Montney and obviously, very 100 drills. So we look at that we can grow those areas quite substantially over the time. 
Carly Davenport: Great. I appreciate that color. And then as a follow-up, I just wanted to ask about the Pathways initiative. You've obviously gotten the update from the government around tax credits, but any color that you can provide around how the project is progressing? And then from a timing perspective, how we should be thinking about the anticipated spend component sort of getting built into CapEx over time? 
Timothy  McKay: Sure. So at the end of April, our teams submitted our application for floor space to the Alberta government. And obviously, we need to work with the Alberta government to not only secure the floor space in a timely manager (sic) [ manner ] and then as well as understand how the Pathways project would -- how the province could help -- will help the Pathways project proceed forward. So it's early time. The key, in my mind is, first, to get the floor space in a timely manner, and then we can start to put together a cost profile for us for everyone today. The teams have done a preliminary estimate for timing. But really, the key is for the Alberta government to allocate that floor space in a timely manner. 
Operator: Your next question is from Doug Leggate from Bank of America. 
David Fernandez: This is David Fernandez for Doug Leggate. I just wanted to ask, yesterday, Cheniere signed a 15-year agreement with a gas producer out of Canada, and they will be receiving JKM pricing or LNG index pricing. I was kind of curious, given your -- after this acquisition storm, you guys have a sizable gas portfolio, how do the opportunities look like there? What is the available capacity that you guys might have on the transport side, the key export markets? Like any type of color around potentially seeing some of that gas production ending up in some of those end markets for LNGs would be interesting. 
Timothy  McKay: Yes. Dave, that's a very good question. And obviously, our teams always evaluate various opportunities, obviously, being one of the largest natural gas producers in Western Canada, there are always discussions with various parties. In general, what we've found over the many years is that the market changes very quickly. And as such, you have to have some diversification. So as a part of that, we always look to just diversify and recognizing that in certain times, it will either be in or out of the market. But our teams are always actively talking with various parties and looking for opportunities to diversify our sales portfolio. 
David Fernandez: Got it. I appreciate that. And last question for me. On the gas side as well, you guys mentioned a few wells that you brought online in British Columbia. Could you provide maybe an update if there is one around the current regulatory backdrop there, particularly around like the permits and run the permit situation? 
Timothy  McKay: Sure. Sure, Dave. So currently, what's going on in Northeast BC is that what we would consider none or very low-impact activities that we are getting some of the permits. So for example, if a well was existing and you were just doing some facility changes or drilling additional wells on a pad, they're considered low impacts. And in general, those permits have been slowly moving through the system. We hope over the next couple of months that as the BC OGC gets more comfortable with the activity levels that more permits wells to continue to flow through. So it's working its way obviously a little slower than most people like, but for today, it's not impacting anything that we have going in Northeast BC. 
Operator: Your next question is from Manav Gupta from Credit Suisse. 
Manav Gupta: I just want to congratulate Lance for the new responsibilities over the years. You are being very helpful. So glad to see you getting more responsibilities at the firm, congrats Lance. My question here is, generally, what we have seen in the past few years is that Syncrude suite trades in line with WTI, maybe $1 lower, maybe $1 higher. On our screens, we are seeing Syncrude suite trade almost $6.75 over WTI. If you could help us provide some color, is it the industry downtime? Or is it just better quality crude? That's why refiners are paying premium. If you could help us understand what's driving the differential at this point of time in Syncrude suite? 
Timothy  McKay: Sure. That's an excellent question. Obviously, as you indicated, the SCO generally trades at parity for WTI. What we've seen here just in the first quarter is with some of the maintenance items, it has put pressure on the availability of SCO. So as you're aware, at the Scotford Upgrader, it's been down on a turnaround and with some other activities that various producers are doing, it's put the pressure on the availability of SCO. And hence, we're seeing in the short term a premium for it. As you say, $5 to $6. And I suspect as the turnarounds are completed here in the spring that will potentially put some pressure off the SCO market. 
Manav Gupta: And very quick clarification here, sir. Your organic capital expenditure was $844 million, and the total capital expenditure with the acquisition was $1.455 billion, I'm assuming it's Wembley and Pike, but if you could help us understand how much you paid for those and bridge that gap between $844 million and $1.5 billion? 
Timothy  McKay: Yes. Well, we never really talk about what we pay for individual properties. But what I can say is we had a number of bolt-on cleanup acquisitions in the quarter. We just highlighted just 2 of them. So I can tell you that there are very good opportunities for the company. 
Operator: [Operator Instructions] Your next question is from Patrick O'Rourke from ATB Capital Markets. 
Patrick O'Rourke: Sorry, I thought I dropped out of the queue all my questions have been answered, and you've done a very thorough job on that. 
Mark Stainthorpe: Thank you. 
Timothy  McKay: Thank you, Patrick. 
Operator: [Operator Instructions] All right. I'm showing no further questions at this time. I would now like to turn the call back to the presenters for any additional or closing comments. 
Timothy  McKay: Thank you, operator, and thank you to those who joined us this morning. If you have any follow-up questions, please don't hesitate to give us a call. Thanks, and have a great day. 
Operator: Ladies and gentlemen, this does conclude today's conference call and webcast. Thank you for participating, and have a great day.